Operator: Ladies and gentlemen, thank you for standing by and welcome to Accenture’s First Quarter Fiscal 2018 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today’s call is being recorded. Your hosting speaker today, Managing Director, Head of Investor Relations, Angie Park. Please go ahead.
Angie Park: Thank you, Kevin. And thanks everyone for joining us today on our first quarter fiscal 2018 earnings announcement. As the operator just mentioned, I’m Angie Park, Managing Director, Head of Investor Relations. With me today are Pierre Nanterme, our Chairman and Chief Executive Officer; and David Rowland, our Chief Financial Officer. We hope you’ve had an opportunity to review the news release we issued a short time ago. Let me quickly outline the agenda for today’s call. Pierre will begin with an overview of our results. David will take you through the financial details, including the income statement and balance sheet for the first quarter. Pierre will then provide a brief update on our market positioning before David provides our outlook for the second quarter and full fiscal year 2018. We will then take your questions before Pierre provides a wrap-up at the end of the call. As a reminder, when we discuss revenues during today’s call, we’re talking about revenues before reimbursements or net revenues. Some of the matters we’ll discuss on this call, including our business outlook are forward-looking and as such, are subject to known and unknown risks and uncertainties, including but not limited to those factors set forth in today’s news release and discussed in our annual report on Form 10-K and quarterly reports on Form 10-Q and other SEC filings. These risks and uncertainties could cause actual results to differ materially from those expressed on this call. During our call today, we will reference certain non-GAAP financial measures which we believe provide useful information for investors. We include reconciliations of non-GAAP financial measures where appropriate to GAAP in our news release or in the Investor Relations section of our website at accenture.com. As always, Accenture assumes no obligation to update the information presented on this conference call. Now, let me turn the call over to Pierre.
Pierre Nanterme: Thank you, Angie. And thanks everyone for joining us today. We had an excellent first quarter and I am extremely pleased with our results. We delivered strong and broad-based revenue growth across all dimensions of our business and gained significant market share once again. Our strategy continues to different Accenture in the marketplace and we are seeing very strong demand for our services, particularly in digital, cloud and security. Here are few highlights for the quarter. We delivered very strong new bookings of $10 billion. We generated revenues of was $9.5 billion with 10% growth in local currency. We delivered very strong earnings per share of $1.79, a 13% increase. Operating margin was 15.6%, consistent with the first quarter last year. We generated strong free cash flow of nearly $900 million and we returned more than $1.4 billion in cash to shareholders through share repurchases and dividends. So, we are off to a strong start in fiscal year 2018 and I feel very good about the continued momentum in our business. Now, let me handover to David, who will review the numbers in greater detail. David, over to you.
David Rowland: Thank you, Pierre. Happy holidays to all of you and thanks so much for joining us on today’s call. Building further on Pierre’s comments, we were very pleased with our quarter one results which positioned us well to achieve our full year business outlook, especially as it relates to our strong and broad-based top-line growth. Once again, these results demonstrate the durability and resiliency of our growth model and the high degree of relevance and differentiation of our capabilities in the marketplace. Before I get into the details of the quarter, let me summarize a few of the important highlights. Starting with net revenues. We expanded our business by approximately $1 billion in the quarter, with 10% growth in local currency. The diversity and durability of our growth model was evident with strong and extremely well-balanced growth across all five operating groups and all three geographic areas, with double-digit growth in four operating groups in both Europe and Growth Markets. Strong double-digit growth in digital, cloud and security continued to be the dominant driver of our growth, and it was pervasive across the business. And we estimate that our 10% growth significantly outpaced the market as we continue to gain share and strengthen our position as a leader in the new. With respect to our profitability. Our operating margin of 15.6% in the quarter was consistent with quarter one of last year, and continues to reflect the significant level of investment in our business. And we delivered very strong EPS of a $1.79, which was up 13% compared to last year. Looking at cash generation and capital allocation. Our free cash flow of $872 million in the quarter was consistent with our expectations and supports our ongoing objective to invest in our business while returning significant cash to our shareholders. We invested roughly $130 million, primarily attributed to two acquisitions, and returned approximately $1.4 billion in share repurchases and dividends. And we continue to expect to invest approximately $1.1 billion to $1.4 billion in acquisitions during fiscal 2018. With that said, let me turn to some of the details, starting with new bookings. New bookings were $10 billion for the quarter, reflecting 19% growth in local currency over last year. Our consulting bookings were $5.9 billion with the book-to-bill of 1.1 and represented an all-time high. Outsourcing bookings were $4 billion with the book-to-bill of 0.9. Once again, our new bookings were well-balanced across the business and we were especially pleased with strong bookings in North America and overall in our strategy and consulting business combined. Strong demand continued for digital, cloud and security, which we estimate represented more than 60% of our new bookings. It’s also noteworthy that we had 13 clients with new bookings in excess of $100 million in the quarter. Now turning to revenues. Net revenues for the quarter were $9.5 billion, a 12% increase in USD and 10% local currency, reflecting a foreign exchange tailwind of roughly 2%. Our net revenues were $170 million above the upper end of our previously guided range, as a result of stronger than expected performance across every dimension of our business. The consulting revenues for the quarter were $5.2 billion, up 13% in USD and 11% in local currency. Outsourcing revenues were $4.3 billion, up 11% in USD and 9% in local currency. Looking at the trends and estimated revenue growth across our five business dimensions. Growth was led by application services and operations which both posted double-digit growth. We also saw an uptick in strategy and consulting services combined, which grew mid single digits. And as I mentioned earlier, we continued to deliver strong double-digit growth in digital cloud and security by leveraging the significant investments we’ve made in recent years to build highly differentiated capabilities. Looking at our operating groups, financial services led this quarter with 11% growth in local currency, reflecting strong growth in both banking and capital markets and insurance. Growth was strong across all three geographies including double-digit growth in Europe and the Growth Markets. Communications, media and technology grew 10% in the quarter, representing their strongest growth rate in seven quarters, driven by continued strong double-digit growth in software platforms, and we delivered double-digit growth in both North America and the Growth Markets, and we’re particularly pleased with the return to strong growth in Europe. Products delivered its 10th consecutive quarter of double-digit revenue growth with 10% growth, led by double-digit growth in consumer goods, retail and travel services as well as industrial. We continue to see strong demand for our services in Europe and the Growth Markets, both of which grew double digits. Resources built further on the momentum established in the second half of last year and delivered a strong quarter at 10% growth. The highlight of the quarter continued to be strong double-digit growth in chemicals and natural resources, and we were also pleased with continued signs of stabilization in energy, resulting in positive growth in the quarter. Finally, H&PS grew 8%, reflecting significant improvement over growth rates in fiscal 2017. We saw strong growth in both health and public service, led by double-digit growth in both Europe and the Growth Markets, and strong growth in North America. Gross margin for the quarter was 32.1%, consistent with the same period last year. Sales and marketing expense for the quarter was 10.5% compared with 10.4% for the first quarter last year. General and administrative expense was 5.9% compared to 6% for the same quarter last year. Operating income was $1.5 billion for the first quarter, reflecting 15.6% operating margin, consistent with quarter one last year. Our effective tax rate for the quarter was 20.5% compared with an effective tax rate of 20.4% for the first quarter last year. Diluted earnings per share were $1.79 compared with EPS of $1.58 in the first quarter last year, and again, this reflects a 13% year-over-year increase. Days services outstanding were 43 days compared to 39 days last quarter and 44 days in the first quarter of last year. Free cash flow for the quarter was $872 million, resulting from cash generated by operating activities of $1 billion net of property and equipment additions of a $133 million. Our cash balance at November 30th was $3.7 billion compared with $4.1 billion at August 31st. With regards to our ongoing objective to return cash shareholders, in the first quarter, we repurchased or redeemed 4 million shares for $563 million at an average price of $139.69 per share. At November 30th, we had approximately $2.6 billion of share repurchase authority remaining. Also in November, we paid a semi-annual cash dividend of $1.33 per share for a total of $854 million. This represented a $0.12 per share or 10% increase of dividend we paid in May. So in summary, we’re very pleased with our quarter one results and we’re off to a good start in fiscal 2018. Now, let me turn it back to Pierre.
Pierre Nanterme: Thank you, David. Our very strong results in the first quarter demonstrate that we continue to execute our strategy very well and are clearly benefited from the substantial investments we have made to build differentiated services and further enhance our competitiveness. I am especially pleased with our continued rotation to the new digital, cloud and security, which again grew at a very strong double-digit rate this quarter. We have been particularly successful with Accenture Digital, nearly tripling the annual revenue from this business since we launched it four years ago. And we have expanded our capabilities to help our clients with their digital transformations. Now, given the increasing importance of artificial intelligence, automation, machine learning and other innovative technologies, we are evolving Accenture Digital to be even more relevant to our clients and drive even greater differentiation in the marketplace. Going forward, Accenture Digital will be focused on three big areas, Accenture Interactive; Accenture Industry X.0; and Accenture Applied Intelligence. Let me bring this to life for you. We’ll start Accenture Interactive, which is all about serving the CMO and the marketing function, helping the world’s leading brands transform the customer experience. We are working with Maserati to do just that across all of its channels, leveraging our expertise in data-driven marketing, digital analytics, and creative services. We are also strengthening our end-to-end marketing capabilities for CMOs by investing to scale intelligent marketing operations. This capability, which is part of Accenture operations combines platforms, analytics and artificial intelligence to run marketing campaigns as a seamless managed service. Second, Accenture Industry X.0 focuses on the digital reinvention of manufacturing and production, helping clients create smart, connected products and services, using advanced technologies including the Internet of Things, connected devices, and digital platform. A great example is that we are partnering with Schneider Electric to create a Digital Services Factory to build and scale new services in predictive maintenance, asset monitoring, and energy optimization. By combining real time analytics with collected technologies on an IoT platform, we are helping anticipate customer needs and reducing the time to launch new services at scale by 80%. And to give our clients hands-on experience, we are opening industrial IoT innovation centers including one near Munich where we’re working with clients to design and prototype digital solutions that will improve engineering, manufacturing and production. We plan to open new centers soon in the U.S. and Asia. The third area, Accenture Applied Intelligence brings together the capability to building advanced analytics and artificial intelligence. Increasingly, we are embedding artificial intelligence into the core of our clients’ businesses across every function and process. And given our technology independence, Accenture holds a unique position in the tech ecosystem. And we are working with all the leading providers of artificial intelligence technologies including Microsoft, SAP, Google and Amazon to bring the best solutions to our clients. We are working with a leading European insurance company to use analytics and artificial intelligence to understand what their customers want and deliver a personalized experience. Our solution across marketing, claims processing and customer service is enhancing customer loyalty and making a significant bottom-line impact. We also continue to invest in this area with our acquisition of Search Technologies to expand our expertise in big data and enterprise search; and our investment in Pactera [ph] which helps companies generate value from data more quickly. Of course, we continue to work with clients on their largest and most complex transformation programs, delivering services end-to-end across our five businesses to drive business outcomes. With Marriott International, we are working at the heart of one of their most important business imperatives, the integration of Starwood, including the massive data migration. We’re also leveraging key elements of our innovation architecture to help Marriott achieve its goal to enhance the travel experience and accelerate growth. And today, we are very proud to be a flagship innovation partner for Marriott. Turning to the geographic dimension of our business. I am very pleased that we delivered strong revenue growth in all three of our geographic regions. In North America, we delivered 7% growth in local currency, driven by the United States. In Europe, we had another excellent quarter with growth of 11% in local currency, driven by strong double-digit growth in Germany, France and Italy as well as high single-digit growth in Spain. And I am extremely pleased with our development in growth markets where we delivered 16% growth in local currency, led once again by very strong double-digit growth in Japan as well as double-digit growth in Australia, Singapore and Brazil. Before I turn it back to David, I want to mention that the digital capabilities we’ve built along with our highly differentiated talent in the new are absolutely key to the successful execution of our strategy. That is why I am pleased we continue receive recognition by industry analysts in key areas ranging from the strength of our execution capabilities in digital strategy and consulting to our digital experience services in design, content and co-innovation, and for our overall market leadership in digital services. I am also pleased Accenture was recognized by Fortune as a company changing the world and by JUST Capital for our leadership in environmental sustainability and in the training and development of our people. I truly believe Accenture is a magnet for top talent in the new, not only because of the work we do for clients but because our culture supports employee who want to make a difference in the community where we live and work. So, with that, I will turn the call over to David to provide our updated business outlook. David, over to you.
David Rowland: Thank you, Pierre. Let me now turn to our business outlook. For the second quarter of fiscal 2018, we expect revenues to be in the range of $9.15 billion to $9.4 billion. This assumes the impact of FX will be about positive 4.5% compared to the second quarter of fiscal 2017 and reflects an estimated 6% to 9% growth in local currency. For the full fiscal year 2018, based upon how the rates have been trending over the last few weeks, we now assume the impact of FX on our results in U.S. dollars will be positive 2.5% compared to fiscal 2017. For the full fiscal 2018, we now expect our net revenues to be in the range of 6% to 8% growth in local currency over fiscal 2017. For operating margin, we continue to expect fiscal 2018 to be 14.9% to 15.1%, a 10 to 30 basis-point expansion over adjusted fiscal 2017 results. We now expect our annual effective tax rate to be in the range of 22% to 24%. This range does not include the impact from the U.S. tax legislation. Before I move on, let me add some additional comments on our view of the new tax legislation. Our current assessment is that we do expect to record a non-cash expense in fiscal 2018 which could be up to $500 million to reflect the impact of lower tax rates on our U.S. deferred tax assets. Beyond this expense, we expect the impact to our fiscal 2018 tax rate to be minimum. For earnings per share, adjusting for the updated net revenues, FX and tax assumptions, we now expect full year diluted EPS for fiscal 2018 to be in the range of $6.48 to $6.66 or 10% to 13% growth over adjusted fiscal 2017 results. For the full fiscal 2018, we continue to expect operating cash flow to be in the range of $5 billion to $5.3 billion, property and equipment additions to be approximately $600 million, and free cash flow to be in the range of $4.4 billion to $4.7 billion. Finally, we continue to expect to return at least $4.3 billion through dividends and share repurchases, and also continue to expect to reduce the weighted average diluted shares outstanding by about 1% as we remain committed to returning a substantial portion of our cash to our shareholders. With that said, let’s open it up so that we can take your questions. Angie?
Angie Park: Thanks, David. I would ask that you each keep to one question and a follow-up to allow as many participants as possible to ask a question. Kevin, would you provide instructions for those on the call?
Operator: Thank you. [Operator Instructions] And our first question is from the line of Tien-Tsin Huang, JPMorgan. Please go ahead.
David Rowland: Hey. Good morning, Tien-Tsin.
Tien-Tsin Huang: Good morning to you. Very strong results here. I guess, I’ll hone in on the consulting book-to-bill metric; like you said, it’s the highest you’ve seen. Wouldn’t that imply acceleration for the consulting segment here, in the short to mid-term? Maybe you can update us on that and just growth across consulting and outsourcing, and if that’s changed for the fiscal year?
David Rowland: Yes. I mean, let me start by saying that we are very, very pleased with our consulting bookings, obviously in the first quarter. We do see good momentum in the business. We’re pleased with our pipeline. And in fact, if you look at our bookings overall, we expect to have another strong bookings quarter in quarter two. So, if you look at momentum really, broadly across our business including consulting but not limited to consulting, we are very, very positive. Perhaps your question really was getting at therefore why didn’t we raise guidance further, perhaps? And on one hand, we have a lot of reasons to be optimistic. We clearly see momentum in our business, but on the other hand it’s just one quarter in the books. And as we normally do, we want to have a little bit more visibility to the full year before we significantly change guidance. We feel obviously very comfortable. We’re taking the low end of the previous guided range off the table. And we will see where we end in quarter two. And at that point, we will reevaluate the upper end of the range. But overall, very comfortable with our business and feel very good about the momentum.
Tien-Tsin Huang: Got it. That makes perfect sense. Just my quick follow-up, then I’ll just ask you obligatory question around acquisitions and the contribution to revenue or even bookings, if you have that in the quarter from acquisitions?
David Rowland: Okay. Thanks, Tien-Tsin. For the full year, our view of acquisitions hasn’t changed. We expect the revenue contribution, the inorganic to be in the 2.5 to 3% range. Now, that will be heavier or higher in the first half of the year where in the first half of the year, the impact is in the 3 to 3.5% range; and certainly, in the first quarter, let’s say it was probably more toward the upper end of that 3 to 3.5% range. And then, in second half of the year, it will be lower in the 2 to 2.5% range. So, 2.5 to 3 for the full year, higher in H1, a little bit lower in H2. We continue to focus obviously on acquisitions as an essential part of our strategy. We did have a lower level of acquisitions in the first quarter. There is nothing you should read into that, is driven by market dynamics and the timing and kind of lumpiness of the way the pipeline evolves in acquisitions. We continue to focus on investing 1.1 to $1.4 billion this year, heavily focused on the new and acquiring critical capabilities to further support that part of our business, which is growing at such a high rate.
Operator: Our next question is from the line Bryan Keane, Deutsche Bank. Please go ahead.
Bryan Keane: Hi, guys and happy holidays as well. Just looking at strategy and consulting. That was kind of a key segment that we saw last year kind of decline through the year and I think it was flat in the fourth quarter on a constant currency basis and then, it’s bounced back here to mid single digits. Also, I heard positive bookings comments about strategy and consulting. So, maybe you can just talk about a little bit on the turn here we’ve seen in strategy and consulting?
David Rowland: Yes. Let me make a comment or two, and then Pierre may want to add some comments or not, depending on what I say. So, first of all, let me just remind you. When we had this discussion last year, we noted for the group that all of our businesses are subject to going through ebbs and flows and cycles. We commented on the fact that in fiscal 2015 and 2016, we had consistent double-digit growth in consulting and strategy services combined. We mentioned last year that application services and operations were very hot. And we also talked about the fact that our strategy and consulting practitioners really play two roles. One role is to serve our clients and delivering strategy and consulting services specifically. But the other role is to really bring the full scope of Accenture services and offerings to the client. So, they have a dual role of both selling the full suite of Accenture’s capability to drive transformation, as well as let’s say business-specific service. So, in that context, as we indicated, these parts of our business can go through kind of natural ebbs and flows. We’re at a point in time now, where if you look at the transformation that a lot of industries just continue to go through, if you look at the high level of growth in the new, we’re at a point where the convergence, the factors were such the demand for those services, which is higher in quarter one, it was fairly broad-based and it was heavily focused on the new. In fact, the growth rate for consulting and strategy in the new was much higher than the average growth rate of mid-single-digits that I commented on. Pierre, let me just see if there is anything you’d want to add to that.
Pierre Nanterme: Yes, sure. Complementing to just what you said, I clearly see three main drivers for strategy and consulting growth. I think of course the number one is pretty obvious is there is a strong and stronger demand around digital strategies and digital transformations in all industries and across the world. And number two, there is still the same appetite today for rationalization. You know what is this [ph] around the evolution of the industries; digitalization is on one hand, rationalization on the other hand. In terms of rationalization as administration, we have great success with our, what we call, BBZ, budget base zero kind of approach, which is all about rationalizing operations and cost to make our client more effective. And three, it is a clear rebound in what I would call the platform business. And by platform, I’m thinking about SAP, I’m thinking about Microsoft, I’m thinking about Salesforce.com as an illustration. Clearly, their new platforms, cloud-enabled are creating demand for our technology services, but as well are driving demand for consulting services, because you have to significantly transform the organization as well as the processes.
Bryan Keane: Just one quick follow-up. When thinking about the 10% constant currency revenue growth rate, I know that’s up from 8% constant currency last quarter. Just trying to think about the two big dimensions. Did the new growth portion accelerate that cause that acceleration or did just the core growth business improve? Thanks so much.
David Rowland: The primary driver of our growth in the quarter continues to be the new. So, the big story continues to be underpinning that 10% is just very, very strong growth in the new.
Operator: And our next question is from the line of Lisa Ellis of Bernstein. Please go ahead.
Lisa Ellis: So, can you guys comment on -- as you’re now in the close of the calendar year and you’re doing your discussions for calendar 2018 with clients, what the underlying growth rate is looking like in their overall IT budgets? I mean, we talk a lot about the shift into the new. But, I am curious what the dynamic is with overall growth. I highlight that just because in our recent CIO surveys, we’re actually seeing a material uptick in actually overall budget growth. I am curious if you guys are sort of seeing a similar thing as you look into calendar 2018?
Pierre Nanterme: Yes. Thanks Lisa for your question. And indeed, I’ve been reading carefully the report you provided regarding your CIO survey. And I could only describe to the conclusion you’ve made from this survey, indeed there is an increase in the budget. But, as you know, the investments -- I mean, they continue to shift from the legacy to the new to use our own terminology. And on the legacy, the demand is still around rationalizing the application and rationalizing the infrastructure, which is creating a good demand on our cloud services administration or good demand as well and we have results this year on our application outsourcing business, which is part of our application services. And indeed, we see a shift of the budget to digital technologies at large, including the digital technologies in the IT shelf but I would extend to the digital technology in the marketing budget as well. And all of this is increasing, as I think we’re moving in digital from what I would qualify these last couple of years, the proliferation of the POC, the proof-of-concept. So, the prototypes that have been proliferating across the different organizations; and now we are moving to the industrialization of the deployment of the digital capabilities. And of course, it’s creating strong demand to Accenture services because we organize our capabilities exactly to support the industrialization of digital services.
Lisa Ellis: Perfect, thank you. And then, David, my follow up is for you. Could you give a little color on the free cash flow numbers? I just noticed those are -- actually free cash flow is a little bit down year-on-year, quarter-to-quarter and also your guidance for the year and the midpoint of the guidance is -- doesn’t have growth year-on-year, despite the strong earnings growth outlook?
David Rowland: Yes. I mean, as I said, I don’t think there’s anything particular to point out on our free cash flow guidance. The first quarter played out pretty much exactly as we had expected. It’s typical that we have an uptick in DSO in the first quarter from the fourth quarter, and that played out as expected in the range that we had expected. And we continue to track well for our free cash flow for the full year. Again, one of the things that you know Lisa we comment on is the relationship between free cash flow and net income. And our free cash flow range continues to indicate that we have a model where the free cash flow exceeds our net income. So, we feel very good about it. I mean, we work hard every day on DSOs and other aspects of our cash flow to try to land as high in the range as possible. But, we feel good about the range that we started here with and reconfirmed just few minutes ago.
Lisa Ellis: Okay, cool. Yes. I just wanted to know if there were no specific call outs, all right. Thank you.
David Rowland: Yes. All right. Thank you, Lisa.
Operator: Thank you. And next we have Moshe Katri, Wedbush. Please go ahead.
Moshe Katri: Yes, thanks. Good morning. Can we talk a bit about digital, cloud and platforms? I’m assuming it’s north of 50% of revenues. Maybe some color in that. And you did indicate double-digit growth, maybe some more color on that. Is growth accelerating or are we still at the same level that we’ve seen a year maybe two years ago? Thanks.
Pierre Nanterme: Yes. I’m very pleased to comment on this. I mean, first, what we’re calling the new digital, cloud, security services; you added platforms, I’m fine with that. We see continued momentum in the services we have built these last few years, interactive, what we call mobility, analytics, cloud and security. This is very strong and we continue to enjoy a good growth. But, in addition, we don’t stand still. And this is what I wanted to communicate, especially in this call to all of you is the new ways of digital technologies and innovations are coming extremely rapidly. And so, what we wanted to make sure we stay ahead of the curve and so we could provide to our clients at scale, the services in these new technologies, and that’s why we are launching these three new services that are going to join Accenture Digital. I’m thinking about Accenture Applied Intelligence, so bringing the artificial intelligence and machine learning on top of our existing analytics business. So, the analytics business had a good momentum, and we are adding artificial intelligence and machine learning to accelerate this momentum and accelerate growth. We’re doing a very similar thing by the creation of Accenture Industry X.0 where we’re bringing the new capabilities we’ve developed in terms of engineering, production on the internet manufacturing, if you will, around the digital manufacturing platforms and all the IoT and connected devices world to again sustain and accelerate our momentum in that space. And the last one is around what we’re calling intelligent marketing campaign in Accenture Interactive. Again, Accenture Interactive has an excellent momentum as we speak in the existing services, mainly design, content production and commerce production as well. And we are adding intelligent marketing operations. So, we are adding on top of the good momentum an accelerator, if you will with the new capabilities we are launching. So, I’m very comfortable that we will continue to drive excellent double-digit growth in this part of our business.
David Rowland: And if I could just add -- let me just add one comment just on the quantitative side and call out that our revenues in the new now represent approximately 55% of our total revenue stream. One of the things that Pierre and I were looking at yesterday is -- and of course, we have been managing this for many quarters now is just how pervasive that is across our business. I mean, literally, every industry, every geographic market, you see a level of rotation to the new that is let’s say in the range of 50% or higher and 55% overall. And I think that that’s important for a number of reasons, not the least of which is that supports an essential element of our strategy which is to create durability and resiliency in our revenue. And that’s an illustration, one illustration of how our model is working to do that.
Moshe Katri: Thanks. And just as a follow-up to this. Our surveys are talking about the fact or indicating the fact that average project sizes in this area are starting to pretty much scale and increase pretty significantly, just given the fact that we’re getting to a point where you are saying your typical enterprise buyer kind of connecting the front end to the back end legacy backbone systems. Are you seeing that as well? And obviously, from your perspective that could be kind of a multi-year phase as well.
Pierre Nanterme: No doubt the digital projects are getting bigger and they are getting bigger, just consistent with the transition, as mentioned before. We had this space where clients were investing in smaller projects that qualified in terms of prototyping or proof-of-concept type of projects, testing the thing. Now, we’ve passed that phase where we have evidence that the digital transformation is driving growth and value for the different industries and clients are shifting to industrialize the digital capabilities. You’ve seen more and more the creation of what we’re calling or clients are calling digital factories, digital hub. That’s exactly what we’re doing with Schneider Electric, illustrated a few minutes ago. So, the projects are getting bigger in average as digital technologies are maturing and are scaling. So, it’s a very good trend. And of course, it is supporting double-digit growth in digital- related services.
Operator: Thank you. And next question is from the line of Rod Bourgeois, DeepDive Equity.
David Rowland : Hello, Rod. How are you?
Rod Bourgeois: Hey, doing fine. Thanks very much. Hey, I wanted to talk a little bit about -- the growth definitely came in strong; I want to talk about the margins for a second. Your operating margin was equal to the year-ago quarter. But I know there is a lot of moving parts underneath that margin result, particularly since you’re reporting a gap margin and essentially absorbing all of those acquisition investments. So, can you share the main puts and takes on your margin trend when you compare this year to last year? And I want to know, are there certain underlying factors that are meaningful headwinds year-to-year and certain factors that are meaningful tailwinds?
David Rowland: Okay, great. Very good question. So, first of all is -- I think you started with -- let me just again say that our operating margin can in fact vary quarter-to-quarter. That’s the typical pattern in our business for a variety of reasons. Let me also reiterate that irrespective of what our margin was in quarter one which we were pleased with, we feel very comfortable that we’re on the trajectory of delivering 10 to 30 basis points of expansion for the full year while also meeting on our management objective which is to invest at significantly higher levels than the rate of our revenue growth and then covering that by real underlying expansion in our margin. As it relates to quarter one, there are probably two or three things that I would point out, none of which are too much of a surprise in terms of a normal flow of our business. The first thing, I would highlight is that quarter one of last year was an extremely strong quarter for us. You may remember, Rod, that quarter one of last year, we reported 40 basis points of expansion. And so, some of what you say in our first quarter result is -- compare against a very strong quarter last year. I think if I was to just point two other things in our results in the first quarter. One thing is, as you alluded to and I confirmed, we did have a very high level of investments flow through our P&L in the first quarter, which I think you and others would expect, given many reasons including the $1.7 billion of acquisitions that we invested in last year. And I would say in general, our investments are probably on balance higher in the first half of the year this year than the second half of the year. The other thing that we called out is that we did see some of our operating groups had lower consulting contract profitability. But again, as you know as well, our contract profitability ebbs and flows at different points in time in our business. And we expect that consulting contract profitability improves as we progress through the year. So, those are some things, I would say, the tough, the higher compares. So really, I would say, we delivered a consistent level of very high profitability that we reported quarter one last year. And the rate of investment growth was much higher than the rate of revenue growth.
Rod Bourgeois: On a somewhat related note, I want to ask about your trend in your sole-source business. In our research, we’re seeing some reasons for sole-source activity to increase, but some other factors that could put some pressure on that. So, I’d love to know, when you net all the trends together, what’s the net impact on sole-source signings activity kind of on a weighted average basis across your business. So, can you say where your sole-source percentage is now and whether it’s heading up or down?
David Rowland: Yes. I mean, we have had -- we track this every quarter. And frankly, we have an amazing level of consistency in the sole-source deals as a percentage of the total. It continues to run in the range of about 70%. So, really, Rod, we’ve seen -- we haven’t seen a significant change in that pattern. I think, Pierre, you wanted to add something.
Pierre Nanterme: Yes. I’m going to give some color on this, because it’s giving me the opportunity to give you an information we didn’t match in the script. When you talk about sole-source, I think it does relate to the quality and the deepness of the trusted relationships we have developed with our clients over many, many years. And I’m very pleased to share with all this group that we have now 169 diamond clients. I am mentioning this number, because many of you know how important are these diamond clients in the Accenture’s strategy including in the economic model. It’s a record high of diamond clients at Accenture, 169, including the best brands across all the world and the deepness and the kind of relationship we’ve been developing for many, many years are as well driving these sole-source projects, because sole-source projects are directly correlated to the trust and the confidence our clients are putting in Accenture.
Operator: Our next question is from the line of Jason Kupferberg, Bank of America. Please go ahead.
Jason Kupferberg: Good morning. So, I just wanted to start with a question on digital, which obviously is the biggest part of the new. We have estimated that the Interactive business might be upwards of maybe half of digital. So, any commentary around that? And just a general update on the growth trajectory of Interactive and the competitive positioning you see there versus the digital and the traditional ad agencies as the lines continue to blur there? I would love to hear about that?
Pierre Nanterme: I couldn’t be more pleased to comment on Accenture Interactive, which I would qualify as a darling of Accenture. And I want to take this opportunity to recognize Brian Whipple for the amazing job he has been doing in providing leadership on Accenture Interactive. And Accenture Interactive has been creating not long ago and as you know, for two years in the row, we have been ranked as the leading company in digital marketing by Advertising Age in terms of size, in terms of growth. We have an amazing momentum. I was very pleased to announce in my presentation that we are now the agency of record for Maserati. It means something for us because it means that indeed we are now a key player in the agency world. We are gaining massive market share. We are becoming certainly a leader in digital marketing solutions. And we have three major segments so far in Accenture Interactive, all the digital design was filled, all the digital content production. And you will remember that some years ago we acquired a company called avVenta being the basis for that. And in all commerce, e-commerce solutions with Acquity. You’ll remember an acquisition made in the U.S., and very pleased with the acquisition of Altima we made in France as well, which is going to boost our equity -- digital equity business. And we are adding now this intelligent marketing campaign where we’re going to analytics and artificial intelligence. So that’s the kind of fourth growth engine we are adding in Accenture Interactive. And so, I am extremely comfortable that we will continue to gain market share and to grow significantly with Accenture Interactive. And I am very pleased by the way that to lead our intelligent marketing campaign, we are going to welcome a very prominent and iconic leader from the industry Nikki Mendonça who is going to join Accenture soon to lead that business. So, couldn’t be more pleased.
Jason Kupferberg: Okay, terrific. So, Accenture along with pretty much everyone else in the space is seeing this real bifurcation in growth between the new versus the legacy service offerings. And I am just wondering, if you guys think that that may lead to some acceleration in industry consolidation perhaps including larger deals and not just tuck-ins that have been more of the norm across the industry in recent years?
Pierre Nanterme: It’s a good question. So, let me start by -- I’m going to talk for David on this because David has got a very strong point of view on the topic and always telling me that the big transaction in professional services fails at 100%, which is quite a significant percentage if you will. So, are we going to see that? I don’t know. This is not our game at Accenture. Our game is to drive organic growth on top of acquisition of very specific companies with very specific and differentiated capabilities. And then, what Accenture is offering to these companies we’re acquiring is our unique access to the best brands in the world and our unique geographic footprint; that’s the combo we’re bringing. You imagine, when these companies are joining Accenture with access to 169 diamond clients the best brands in the world. So, I tend to trust David, I always trust David. 100% of the big transaction in professional services and consolidation fail.
Jason Kupferberg: Okay. Well, trusting David has worked so far. So, you might as well -- happy holidays, guys.
David Rowland: You should always trust David. It’s the best year for the industry.
Jason Kupferberg: Thanks, enjoy.
David Rowland: Hey, Jason. Thanks for teeing that up.
Jason Kupferberg: Anytime.
Operator: And next question is from the line of Brian Essex, Morgan Stanley. Please go ahead.
David Rowland: Good morning, Brian.
Brian Essex: Good morning. Thank you for taking the call and happy holidays from me as well. There is a lot of conversation about the new, certainly worth highlighting. I was wondering if maybe I could follow on a question I think that Bryan had asked. We’ve seen some better than expected results, particularly recently from traditional on-premise hardware vendors. Kind of driving the debate for on-premise workflow computing environment, and what’s going on in that space. What are seeing -- are you seeing stabilization in the core as stabilization within legacy contracts as well or do you have any insight into what’s going on there, or do you view that as maybe an anomaly in the market?
Pierre Nanterme: What I can share with you is indeed our view on this platform’s market. As you know, we are working with all the major players in the ecosystem, I mean think about SAP, or I call Microsoft, Salesforce.com, Workday to mention a few. If you take what probably you’d call the legacy players and not the -- I mean, the cloud native [ph] such as Salesforce.com and Workday, there are kind of periods, especially SAP and Oracle, of pause where they were facing this transition from on-premise to cloud-enabled platforms. And then what you’ve been seeing is that put the act together in a very strong way. And if you take just SAP, they launched S/4HANA and then on top of HANA their in-memory analytics tools, they are putting now Leonardo, which is bringing more intelligent and artificial intelligence on top of it. And all of this now is cloud enabled and you heard that partnership between SAP and Azure to provide the SAP solution on the cloud. And now, this is what we’ve seen in our services that our services on these platforms are growing significantly. And so, to a great extent, I don’t believe that there is anymore -- the terminology of legacy players. I think they’ve been able to transition in the new and now they could compete in cloud ERP solution, likewise the Salesforce.com or the Workday. So, I’m very impressed with the rotation they’ve been driving in their business to move from on-promise legacy to cloud as a service business.
Brian Essex: Great. And then, maybe if I could touch on, as a follow-up on a question that Lisa I think has asked with regard to budgets. I mean, our CIO surveys also pointed to better spend next year but that was a 3Q survey that was prior to tax reform. Are you having any -- or do you have an incremental color for next year, if there is any sensitivity to lift from reform and potential upside to what you’ve initially had in terms of conversations with your customers?
Pierre Nanterme: No, I can mention. I mean there are many analysts who have been providing information as well as you are driving CIO surveys and they are all very consistent that the budget would increase with the shift from legacy to digital. But for me, to be honest, with 10 billion bookings in Q1, it would be hard not to acknowledge there is a demand out there.
Angie Park: Kevin, we have time for one more question and then Pierre will wrap up the call.
Operator: Thank you. That question is from the line of David Grossman, Stifel Financial. Please go ahead.
David Grossman: David, sorry if I missed this, but I think you mentioned the tax reform had minimal impact on fiscal 2018 EPS. Can you provide us with any parameters that may help us understand the potential impacts of tax reform beyond this fiscal year?
David Rowland: Yes. So, just to I guess to reconfirm, to ensure I was clear in the remarks I made in the script. Again, we expect our tax rate this year again to be in the 22 to 24% range. And that does not include the impact of the U.S. tax legislation. Again, our current assessment is that the impact on the effective tax rate will be minimal, other than a non-cash expense for fiscal 2018, which could be up to 500 million which reflects the impact of lower tax rates on our U.S. deferred tax assets. I didn’t say it in the script but let me also add that we do not expect an impact on our tax cash payments this year. So, having said that, over time, on an ongoing basis the legislation could modestly impact our ongoing effective tax rate by imposing taxes on our intercompany transactions and limiting our ability to deduct certain expenses. And so, the specific answer to your question beyond what I said about 2018 is that on an ongoing basis, we think it could modestly impact our ongoing effective tax rate. And essentially, you’ve got the lower rate, which is let’s say offset essentially or closely offset by the loss of certain deductions and then the other thing in the mix as well is the tax imposed on intercompany transactions. But, in the mix, we see a modest impact over time.
David Grossman: So, that’s the modest impact, plus or minus, is that up?
David Rowland: I would say more likely a modest upward pressure than downward.
David Grossman: Got it. Great. Thanks for that. And just one very quick follow-up. So just in addition to -- you’ve done a great job of using acquisitions to accelerate your ability to reach scale change in the marketplace. So, if in fact that’s an accurate observation, given that the guidance for a slower pace of acquisition for this year, should we assume that your recruiting and training infrastructure is now at a point that you can better satisfy in market demand or are there other dynamics that play in that equation?
David Rowland: I would say that -- I wouldn’t -- I understand that if you just look at it purely numerically, you would say that we have a lower rate of acquisitions. I wouldn’t say that -- what I would say is that this year’s estimate of 1.1 to 1.4 is entirely consistent with our strategic objective. It just so happens that last year, the nature of the opportunities in the marketplace was such that we went above what would be our typical strategic range. That could happen at any time in the future. So, it’s not a slowdown as much as it was last year; it was just above our strategic range. And this year, we’re guiding 1.1 to 1.4 which is right consistent with our strategic objective and we’ll see how the year plays out.
Pierre Nanterme: All right. I think it’s time right Angie to wrap up the call. Thanks again for joining us on today’s call. So, in closing and with the first quarter now behind us, as you probably heard from David and I, we feel very good about where we are. And I’m personally confident that we are well-positioned to continue gaining market share, driving profitable growth and delivering value for both our clients and all our stakeholders. I want to wish you, our investors and analysts and everyone at Accenture a very happy holiday season and all the best for the New Year. We look forward to talking with you again next quarter. In the meantime, if you have any question, as always, please feel free to call Angie and the team. All the best. Happy New Year. Talk to you next year.
Operator: Thank you. Ladies and gentlemen, that does conclude your conference. We do thank you for joining while using AT&T Executive Teleconference. You may now disconnect. Have a good day.